Operator: Good morning. My name Sylvie and I will be your conference operator today. At this time I would like to welcome everyone to Parkland 2021 Q4 Results Analyst Conference Call. Note that all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]  And I would like to turn the conference over to Valerie Roberts, Director of Investor Relations for Parkland. Please go ahead.
Valerie Roberts: Thank you, operator. With me today on the call are Bob Espey, President and CEO and Marcel Teunissen, Chief Financial Officer. This call is webcast and I encourage listeners to follow along with the supporting slides. We will go through our prepared remarks and then open it up for questions from the investment community. Please limit yourself to one question and a follow-up as necessary and if you have other questions, re-enter the queue. We would ask analysts to follow-up directly with the Investor Relations team afterwards for any detailed modeling questions. During our call today, we may make forward-looking statements related to expected future performance. These statements are based on current views and assumptions and are subject to uncertainties, which are difficult to predict. These uncertainties include, but are not limited to, expected operating results and industry conditions among other factors. Risk factors applicable to our business are set out in our annual information form and management's discussion and analysis. We will also be discussing non-GAAP and other financial measures, which do not have any standardized meanings prescribed by IFRS. These measures are identified and defined in Parkland's continuous disclosure documents, which are available on our website or on SEDAR. Please refer to these documents as they identify factors which may cause actual results to differ materially from any forward-looking statements. Dollar amounts discussed in today's call are expressed in Canadian dollars, unless otherwise noted. I will now turn the call over to Bob.
Bob Espey: Great. Thanks Val, and good morning everybody. I appreciate you joining us to discuss what we believe are excellent fourth quarter results to close out an incredible year for Parkland. Before we jump in, I want to take a moment to highlight the image you see on the cover slide. It showcases the winning entry of an electrical autonomy design competition we sponsored to envision the electric charging destination of the future. Our goal in sponsoring this competition was to invite architects and designers from around the world to put the needs of EV customers first and entirely re-imagine their charging experience. Modular in design and constructed using environmentally friendly materials this winning design can be scaled large or small. It will feature amenities we know EV customers will value as they recharge such as our ON the RUN convenience stores, high quality dining, relaxation, and outdoor spaces. The results is a destination that customers can enjoy which will set a new standard for electric vehicle charging and customer experience. We are committed to building this innovative concept as an extension of our electrical vehicle ultra fast charging network in British Columbia. As followers of Parkland, you know that our purpose is to power JOURNIEs and energize communities. This means providing our customers and communities with the fuels, convenience items and food they need today and to remain one step ahead of their needs of tomorrow. We are very good at this. While EVs currently represent around 1% of total vehicles in Canada and the U.S., we believe that in some markets, particularly British Columbia, meeting the needs of EV drivers presents an opportunity that his highly additive to our business. Commitment to build BC's largest ultrafast charging network and build the electric charging destination of the future are just two examples of how we are seizing opportunities to serve our customers needs in new and creative ways. Moving to Slide 3. I'm very proud of the Parkland team who delivered an incredible year and accelerated the execution of our strategy. Their accomplishments set us up for continued growth and value creation. Safety and community are core values of Parkland and through 2021, our teams delivered excellent safety performance. Also, in the year, some of our communities faced natural disasters. Parkland has a long track record of being a trusted community partner and a company our customers can count on. We demonstrated this in 2021 and I'm immensely proud of the way our team stepped up. Our international team supported communities in St. Vincent following a major volcanic eruption in British Columbia. We ensured our customers and communities had reliable access to fuels, food and convenience items they depend on throughout a major flood event. As you may recall, the BC floods led to the shutdown of the Trans Mountain Pipeline and required us to pause processing operations at our Burnaby Refinery. While our 2021 adjusted EBITDA was consistent with our guidance, the BC floods cost us around $35 million and stopped us from delivering a record of almost $1.3 billion of adjusted EBITDA for the year. Driven by the quality of our offer, brands, and proven ability to meet our customers evolving needs, our core marketing segments just kept growing. In 2021 they delivered record performance with combined annual adjusted EBITDA, up 12% year-over-year. In 2021, we announced record acquisitions and welcomed more than 1500 new employees to Parkland. The pace and value of these transactions represents the execution of two years of acquisitions in one. As always, we were disciplined, selected companies at attractive values and with synergy potential. To put this into context, the companies we bought since the third quarter of 2020, will contribute around $200 million of adjusted EBITDA in 2022. Following synergy capture, we expect they will contribute $280 million by 2024. We track our synergies closely, and we'll share our progress as we go. Sustainability is deeply embedded across our business. We've published our sustainability report in November, which outlined our Drive to Zero goals and enterprise wide sustainability strategy. This included ambitious greenhouse gas emission reduction targets. If you haven't read it, I encourage you to do so. We also made great strides helping our customers lower their environmental impact. We set another record in 2021 by co-processing 86 million liters of bio-feedstocks. This had the equivalent environmental impact of removing 70,000 vehicles from the road. We would have co-processed 100 million liters without the impact of the BC floods. Our renewable fuels have 1/8 of the carbon intensity of conventional fuels and can be used in existing vehicles without modification. They represent one of the most immediate and cost effective ways for customers [indiscernible] up their transportation. We continue to see customers looking for additional ways to lower the environmental impact of their operations. We are meeting this emerging need through our growing voluntary carbon offset business. This is a great example of how our existing expertise provides a springboard to capture new opportunities and play a leadership role in the energy transition. Lastly, as I look back at 2021, I am proud of the way we took advantage of favorable market conditions to strengthen our financial flexibility. We refinanced $1.8 billion of debt at lower interest rates and now have no bond maturities until 2026. Our accomplishments have set the stage for 2022 and provide us with confidence to increase guidance, as well as the annual dividend to $1.30 per share. This is a 5.3% increase. Starting in the second quarter, we will switch to a quarterly payment schedule. This year will be exciting for Parkland having accelerated execution of our strategy we are focused on integrating the companies we have acquired on capturing synergies and deleveraging by slowing down acquisitions. I'll now pass it over to Marcel to discuss our results in more detail.
Marcel Teunissen: Thank you, Bob. Good morning everyone. 2021 was a remarkable year and I echo your congratulations to the Parkland team. So turning to Slide 4 and our segmented results. We generated total adjusted EBITDA of $260 million for the quarter and $1.26 billion for the year. Our core marketing segments which are Canada, the U.S. and International delivered record annual performance. And then we continue to see the impacts of lingering COVID restrictions in quarter four, we also see signs of ongoing recovery and are confident there is more upside to come. I'll start with our Canadian segments, which delivered an adjusted EBITDA of $117 million. This is up almost 5% from quarter four in 2020, reflecting robust fuel and convenience store margins. Excluding cigarettes, company C-store same-store sales growth was 4.7%. This highlights the continued strength of our brands and convenience offering. Our JOURNIE Rewards loyalty program continues to resonate strongly and we now have around 2.9 million members. We also continue to expand our ON the RUN brand adding more than 100 stores, and this brings our total to around 375 stores and puts us well on our way towards our 1000-store target by the end of 2025. In the fourth quarter, we saw volumes across all provinces in Canada take a slight step back compared to quarter three. We attributed this to the end of the summer driving season, plus the impacts of Omicron restrictions. The Atlantic provinces, British Columbia and Quebec are back to within 5% of pre-COVID volumes, while Ontario in the Prairies have some catch-up to do and around 10% off. This gives us confidence that there's further upside as restrictions ease and we saw that in quarter one. Subsequent to the fourth quarter, we closed the Crevier and M&M acquisitions. These advanced our strategy to further develop our platform, diversify our revenue stream and strengthen our customer offer. Our International segment delivered an adjusted EBITDA of $78 million. This is up over 8% from quarter four 2020 reflecting our strong base and resource business. Through the quarter we continued to grow wholesale volumes with increased drilling activities in Suriname and Guyana. We continued to see green shoots in the tourism industry particularly in markets such as the Dominican Republic, Bahamas, and St Maarten. Just like Canada, we see future upside as the COVID recovery takes hold across the region. Our USA segment delivered an adjusted EBITDA of $41 million. This is up 400% from quarter four in 2020 reflecting the impact of acquisitions, synergy capture and organic growth initiative. We successfully closed the acquisitions of Urbieta in Southern Florida and Lynch in Idaho in December and we'll benefit from those businesses in our 2020 results. More broadly, U.S. economic activity has returned to pre-COVID levels and increasing unit margins are offsetting higher labor and inflation costs. We are seeing an uptick in cruise ship bookings which benefits our Florida business and expect tourism will return throughout 2020 as travel restrictions are lifted further. Supply delivered an adjusted EBITDA of $58 million, down 28% from quarter four in 2020. The BC floods had a negative one-time impact of $35 million. I'm incredibly proud, like Bob of how we have continued to supply our customers during this period, and it demonstrates the strength of our supply infrastructure and capabilities. A minor turnaround was also completed on time and on budget in October. Looking to 2020 we expect strong operational performance from the refinery, as we do not have any planned turnarounds for the year. Our next major turnaround is planned for 2023. Corporate costs of $34 million were up slightly year-over-year reflecting reduced benefits from the COVID related wage assistance programs and the partial return to pre-COVID activity levels. Our annual run rate remains at between $115 million and $120 million. We delivered net earnings of $23 million for the quarter and $97 million for the year and when we adjust for items that we do not believe are reflective of our underlying operations such as noncash gains and losses and refinancing and integration costs, our adjusted earnings were $55 million for the quarter and $372 million for the year. All of these are substantial increases over the previous year. Turning to Slide 5, as you'll recall, in 2020 we shared our ambition to double the business from around $1 billion dollars to $2 billion of run rate adjusted EBITDA by the end of 2025. With the acquisitions that we did since quarter three, 2020 two years and as Bob described it, we are well on track to achieve this ambition. We feel confident in our 2020 delivery and with our latest acquisitions we increased guidance from $1.45 billion to $1.5 billion plus or minus 5%. As you can see from the chart, our core marketing businesses have grown consistently year-over-year, driven by our organic and inorganic growth initiatives. It also shows the increase in contribution of our marketing business from around 45% in 2018, to 65% in 2021 and we expect this percentage to grow going forward. While periodic turnarounds and the margin environment creates short-term volatility, our supply segment contributes materially to the results and underpins our core marketing business. And as a reminder, we sell around 85% of the production volume from Burnaby to our own customers in British Columbia, and Burnaby makes up less than 15% of our total volume in Parkland. Finally, as we look at our capital plans for the year, we expect to come in at the lower end of our initial guidance due to prioritization of projects and some supply chain related issues leading to deferral. Turning now to Slide 6, since the third quarter of 2020, we have done 17 acquisitions for around $1.8 billion in aggregate. This accelerated pace of acquisitions was opportunistic, partly driven by anticipated changes in U.S. tax laws. Each transaction we did was on strategy in both the developed and diversification themes. We have also executed at attractive values and created many opportunities for synergies and growth in the future. The expected EBITDA contributions from these acquisitions in 2022, is around $200 million and after delivering synergies and implementing our integration plans, we expect that this will grow to $280 million in 2024. This reflects an aggregate post synergy purchase multiples of around 6.4 times and taking into account some high value real estate that was part of a Q3 Urbieta acquisition, this multiple was even lower and well within our historical range. We've had a busy year of acquisitions. We accelerated the delivery of our strategy and created value for the company. Turning to Slide 7, and our capital allocation framework, you will be familiar with this as we have discussed it several times previously, most recently at our Investor Day. Our goal is to drive sustainable growth in shareholder value and in order of priority, we do this by allocating capital to grow the business, manage our leverage, and then return money to our shareholders. As I've mentioned, last year, we have done two years of acquisitions in one and we have had a few small deals to complete here in the next few weeks. And therefore in 2020, our focus will shift to integration and delivering synergies and return from these acquisitions. We are committed to bring down our leverage to normal levels. And as you know, our business has a high cash conversion, and we generate significant amounts of distributable cash flow. As we slow down our pace of acquisitions, we expect to reduce leverage to come down at a rate of around half a turn a year. We have front loaded our acquisitions and continue to be well on track to deliver our strategy and $2 billion of EBITDA by 2025. Parkland has a 10-year track record of annual dividend increases, and we are confident in our business and our ability to generate cash and we are therefore pleased to announce an increase of our annual dividends by 5.3% to $1.30 per share per year. We've also decided that starting from the second quarter, we will change to a quarterly dividend payment in line with industry practice. Finally, let me mention Sol and the Put call Option. As you know, we currently own 75% of Sol and we like this business and we have a good relationship with our partner. With the completion of the 2021 accounts, we have an option to buy the remaining 25% and our partners have an option to sell their 25%, but we don't have an obligation to buy. We continue to assess our next steps here and we'll disclose our decision at the appropriate time. I would now like to turn the call back over to Bob for final remarks.
Bob Espey: Great. Thanks, Marcel. That was a good overview of the strength of our business, the way we think about capital allocation and our commitment to shareholder returns. Turning to Slide 8, having accelerated the execution of our acquisition strategy through 2021, we entered 2022 with a great deal of momentum and high confidence in our ability to advance our organic growth strategy. As Marcel said, we are focused on integrating the companies we have acquired on capturing synergies and deleveraging by significantly slowing down acquisitions. There's a lot to be excited about in 2022. We have a long runway of accretive organic growth opportunities which will strengthen our customer propositions, and expand the ways we help our customers lower their environmental impact. In 2022, we will continue to develop our existing business by further strengthening our retail, our supply and retail capabilities across all geographies, and win new accounts to grow our customer base and market share. We will continue to expand our ON the RUN convenience stores across Canada and the U.S. This will include the launch of our Canadian standalone stores, which will feature a strong food component underpinned by M&M's proven capabilities. We are advancing our customer experience concept for these stores and aim to open our first in the fall. 2022 will also be an exciting year for our loyalty program. We will begin cross promotional activity with M&M's active loyalty members, setting us on a path to create one of Canada's premier loyalty platforms. In the near-term our goal is to create a digital platform that seamlessly rewards our customers for their refueling, recharging convenience, and quality food purchases. Longer-term we envision a digital ecosystem that enhances and connects our customers end to end experience. We continue to make good progress on our decarbonization strategy. You will remember from Investor Day that we expect it will contribute approximately $150 million of incremental EBITDA by 2025. We see the tremendous role renewable fuels play in reducing the carbon intensity of our customers' transportation. We will continue to grow co-processing activity and expect co-processing volumes will increase by 30% from last year. We are also expanding our bio-feedstocks to include tall oil. This is a low cost waste product from local British Columbia paper mills. In a world first, we have already successfully tested this feedstock, secured the supply chain and expect to begin processing in the first half of the year. You can also expect to see significant growth in our carbon offset business where some customers are offsetting the environmental impact of their operations by investing in impactful environmental projects is attractive. We'll continue to build our capacity in this area and we are planning to offer this service to our commercial customers. Through 2022, as we continue to help our customers lower their environmental impact, you can expect continued growth in our renewable business. We anticipate this will deliver over $50 million of financial benefit in the year. Lastly, we expect to open BC's largest ultrafast EV charging network in the summer. 25 locations network will connect Vancouver Island to Calgary helping remove range anxiety and provide customers with an unrivaled level of amenity. Like we've previously said, the increased dwell time of EV customers creates opportunity for Parkland to meet their convenience and food needs. We have an exciting year ahead of us, so we remain focused on providing our customers and communities with fuels, convenience items and food they need and to remain one step ahead of their needs of tomorrow. I will now turn the call back to the moderator for questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from David Newman at Desjardins. Please go ahead.
David Newman: Good morning all, very solid results, congratulations.
Bob Espey: Hi David.
David Newman: How are you doing, Bob?
Bob Espey: Yes, good.
David Newman: So first question, sorry, go ahead?
Bob Espey: I'm very good, very good. I hear it's your last call today, so you get two questions.
David Newman: Yes, thank you. Thanks Bob. It's an absolute pleasure working with you and the team and I won't be very far away, I'll just be in another seat and I'll continue to push the story so, thank you. My first question is, just on the surge in refined fuel prices that we're seeing on the back of the conflict, especially the pumps, have you seen any de-stimulation of demand for fuel or the back court offerings, coupled with I guess the lingering stages of Omicron a Omicron and is that just being offset by the reopening?
Bob Espey: You know what, in the markets that we're in, as I like to say, people need to drive to live and as a result, demand tends to be inelastic to price. And, as you've also said, with reopening, we are seeing that volumes continue to climb, and certainly above 2020, and 2021 as well. So we're quite optimistic here that volumes will continue to track well going forward through the year.
David Newman: Okay. And I guess the second question is on the back of that is, with the increase in food prices, and just inflation in general, and now that you're about to embark on standalone C-stores, have you seen any trend toward fewer purchases or shift down in price points to maybe your private label offerings, 59th Street and Cargo? And maybe you can just remind us how many SKUs you have and what percentage of basket it might constitute?
Bob Espey: Yes, I'm also, so you must hit harder…
David Newman: For my very last…
Bob Espey: So for sure, yes that's a good question. Certainly, I think that constitutes four questions that you have. You know, look, inflation, I mean, I think the economy is seeing inflation in general across pretty much everything. And certainly that's not great for the consumer. That being said, we are able to manage inflation without it impacting our business. You know, we are fortunate that we do have very well developed private label brands. As you know, over the last several years, we built it out and I don't have the exact number of SKUs, but we can follow up with that. But we built it out to be a nice base within our convenience stores. We continue to grow it, and it is a more economic alternative for the consumer. Again, it's hard to, in the short-term, look at whether we're seeing a significant uplift due to inflation or just due to the fact that we continue to develop and roll out products that consumers really enjoy and continue to buy.
David Newman: Excellent, thanks Bob. And like I said, it's been an absolute pleasure and I will be pushing the story from my new seat and institutional sales. Thank you. Thank you very much.
Bob Espey: Thanks, David. I really appreciate your support.
Operator: Thank you. Next question will be from Ben Isaacson at Scotiabank. Please go ahead.
Ben Isaacson: Thank you very much and good morning, and congrats on the quarter, the dividend bump and the increase to guidance. Two macro questions, on when we look at Canada fuel volume, looks like you did about 10 billion liters in 2018 and 10 again in 2019, that dropped to 8.7 in 2020 with COVID, came back a little bit to 9 in 2021. So we're still about 1 billion shy of where you were before COVID. Can you talk about how much do you think that will come back? Do you think you'll see a run rate of kind of closer to 9.5 or do you expect to get back to that 10 billion liter type area?
Bob Espey: Yes, we don't guide on our specific volumes, but I would say the trends are positive for volume to continue to increase and I'd say that's driven by three factors. One is the continued reopening and demand is coming back particularly on the commuting traffic that had been taken out of the market for the last couple years. The second thing is our marketing initiatives and the organic growth that that drives, particularly the link to JOURNIE has been beneficial. And then the third thing is our organic growth capital that we've continued to invest in the base business. As we add new sites, new dealers, they continue to add incremental volume. So expect it to continue to trend up, but again, we don't forecast where it's going to be.
Ben Isaacson: That's fair. Thank you, and then maybe just an extension to David's question. So with oil in the $100 to $110 area, can you talk about what the puts and takes are? You did talk about demand already, but is it possible that some will switch into diesel? Are there higher logistics costs for yourself? Is there a lag towards margins? Can you just highlight what we should be thinking about with the oil price move?
Bob Espey: Yes, why don’t I take the first part of that and Marcel can talk about the impacts on the balance sheet. So, look, again in Canada, we're in the markets that we're in, in Canada, the U.S. and throughout our international business, generally there are not good substitutes for consumers. So, again, people need to drive to live, whether that's to work, to take the kids to school or sporting events, these things will continue to happen. And it's always hard to predict whether they will adjust their behavior. In terms of we often get asked that on the way up, do margins get compressed? It varies by market. I would say predominantly, markets are quite responsive and dynamic, and the increases get passed through fairly quickly. So that's not, and again as I've often said, our margins do fluctuate around, but certainly, they're very ratable on a quarterly or annual basis. So it's not something that we get concerned about. And then again, we continue to see good growth across all of our fuel commodities and our convenience business. So again, what it does show is the strength of our customer value proposition, and we can continue to win in any environment. So, over to you, Marcel.
Marcel Teunissen: Yes, let me just add to that, Ben. Of course, prices are moving up, but they're also quite volatile. And we see some different shifts in trade patterns at the moment, right, as events in the world unfold. So I think it will take a little bit of time to establish kind of what the new norm is, and the direction. We do see in our international markets some parties no longer being able to trade or trade flows go in different directions as certain sanctions actually implemented. So I would mention that, and we'll have to see how that unfolds in the next little while. On the balance sheet, so I think working capital implications. So in 2021, we increased our working capital by $340 million. And that was partly driven by increased activity and acquisitions as we have done and then also partly driven by an increase in commodity prices that we already saw during the year. Of course, we are monitoring this closely and managing that. With higher prices, we generally focus on our receivable balances, and to ensure that the customers that we do give credit to that they can actually pass on higher costs to their customers or otherwise we see an increased risk on that side. So it's all very active and being actively monitored from our end.
Ben Isaacson: Thanks so much, and congrats again.
Bob Espey: Thanks, Ben.
Operator: And your next question will be from Kevin Chiang at CIBC. Please go ahead.
Kevin Chiang: Hi, thanks for taking my question. I apologize for the length of this one. So if I looked at the $500 million EBITDA that we have already in between what you're guiding to this year, and your mid decade target of $2 billion. I'm just trying to get a sense of what you can do internally versus what you have to go out and buy? And it seems like, if I take that $500 million, I think you've called out about $80 million of synergies from deals that you've done, that would be that would help there. You obviously have the Sol Put, which I suspect you'll exercise at some point, so that's $100 million. Organic growth within your base business typically grows in the low single digit, that could be another almost $150 million. It sounds like the decarbonization could be an incremental $100 million. When you add all these things up, it doesn't seem like there's a large pre-synergy stub remaining of kind of unannounced M&A. Is that the right way to think about this, that you kind of have 70%, 80%, 90% of the stuff you need to get to $2 billion without another major deal ex-tall [ph]?
Bob Espey: So, as we did announce today or indicate that we grew, we did twice the amount of M&A than we had sort of put in our plan in one year. So we are slowing down right now. And that purpose of that has a number. First and foremost it's to integrate effectively. Last year we welcomed rough 1500 new people to Parkland. We need some time to let everybody settle in and also some time for our integrations to catch up with the acquisition. So that's the first and foremost priority and make sure that we get the value we talked about, the additional $80 million. In terms of our priority is to delever. We've always guided that we would push to get our leverage ratio below 3 and certainly as that's one of our priorities here. Once we get below that we’ll be in a good position to push growth again, both organically and M&A. And again, we're always careful on the M&A side to make sure that we find good value that’s accretive and that we can get some upside in the acquisitions that we do execute against.
Kevin Chiang: Okay, that’s helpful. And then maybe a derivative of David's question earlier, just with higher fuel prices, just broader inflation, are you seeing an impact on the basket size or consumer behaviour within your back court offerings? Is that flowing through at all?
Bob Espey: As we indicated, we do see good same-store sales growth. So, we do continue to see consumers rely on the convenience segment for their convenience items and haven't seen a dramatic change in that going into this quarter.
Kevin Chiang: Okay that's helpful. Congrats on a good quarter there and have a good weekend, everybody.
Bob Espey: Great, thanks Kevin.
Operator: Your next question will be from Michael Van Aelst at TD Securities. Please go ahead.
Michael Van Aelst: Thank you and good morning. You did mention that the Canadian business was about 5% to 10% off pre-pandemic volume levels still. I'm wondering where the other parts of the business currently sit, particularly the U.S. and International where there is tourism impact? If you could start with that?
Bob Espey: Yes. Good morning, Michael. Let me start with the U.S. So, the U.S. again, we -- their volumes have recovered to 2019 levels, and on top of that we've acquired a lot of business. So, it's always hard to parse out exactly where the base volume was versus the acquired, but we're quite bullish on our U.S. business and the growth that we can achieve in that market. On the International side, things have certainly come back quite nicely. There are certain markets that are still reopening, but I would say some of the core items, marine and jets, we are seeing come back quite nicely right now. The jet would not be back to 2019 levels, but if you recall we have added some new locations into our Caribbean business and that has allowed us to increase that volume inorganically, but again expect a tailwind there as things continue to open throughout the year.
Michael Van Aelst: Okay perfect. And then on that C-store traffic, I'm just wondering how the actual consumer trip is different versus pre-pandemic and if it’s having any impact on how you are thinking about setting up the stores in the future, whether it's the day part of the product mix or whatnot?
Bob Espey: Yes, good question and as you recall on our Investor Day, we talked about our next evolution in our convenience concept and our push to have a more relevant food offer. And then I would say that's the biggest change that we've seen through the pandemic, where the consumer as common as looking for two items, there was a shift, one is just common food items which start to constitute itself in larger sizes, and then the second thing is the food offer, the fresh food offer. And with M&Ms and the team that joined us, Andy and his team from M&Ms, we have a world class capability in food and convenience food and we're able to now execute on the strategy which we laid out which was three components. One is a good frozen food offer which M&Ms will bring, the second thing is fresh from frozen then the third thing is to continue to develop our prepared fresh at the store offers. So, as we look forward, those are the areas that we're focusing on. We do think through the pandemic and with consumers changing their buying behaviour that that will continue to make that strategy successful here going forward.
Michael Van Aelst: And just to clarify, is the morning day part coming back as the volumes come back?
Bob Espey: You know I can get specific data on that. I mean my understanding is as we roll out new concepts that we're getting good uplift, but we'll circle back on that.
Marcel Teunissen: An just to add a comment Michael, on the fuel side that hasn't completely recovered yet, so when we look at the fuel volumes in the metro areas we still see people working from home, at least in the fourth quarter. And I think as we go now to the first quarter and we see restrictions lifted, I would expect that the morning part and the morning commute will return and more so than we have seen over the last few years.
Michael Van Aelst: Thank you very much.
Operator: Next question will be from Neil Mehta at Goldman Sachs. Please go ahead.
Carly Davenport: Hi, good morning. This is Carly on for Neil. Thanks for taking the questions today. I wanted to start out on the $2 billion 2025 EBITDA target. We have historically been thinking about that as the full year number. Is that the right way to think about it? It seems like in the release it was framed more as an exit rate versus the full year number. So, any clarification there would be helpful.
Marcel Teunissen: Good question Carly. We have always guided this to be the run rate in 2025. So that will be towards the end of the year.
Carly Davenport: Got it. Okay, great. Thank you. And then the follow up was just around leverage or you've talked about keeping leverage levels below the 3.5 times kind of range. So, can you just talk about how you're thinking about the bridge from where you've ended 2021 here to get to those target levels and perhaps if maybe you consider monetizing some of the Urbieta real estate in order to get there?
Marcel Teunissen: So again, we do have the business naturally delevers at about half a turn a year, and our aim is to, as we've indicated, slow down on M&A, allow ourselves to reduce our leverage. We don't need to monetize any significant assets to achieve that. Now that being said, we always look at our asset base and our trimming less productive assets or assets where we can get a better return out of the portfolio and something we do on an ongoing basis and we’ll continue to do, but again the business will naturally delever at a roughly half a turn a year.
Carly Davenport: I appreciate that. Thank you.
Operator: Next question will be from Derek Dley at Canaccord Genuity. Please go ahead.
Derek Dley: Yes, hi good morning. I just want to follow up on the comment about acquisitions, the pace of acquisitions slowing this year. I think at the Investor Day you commented that Florida is an area where you expect a meaningful growth and this was closer to Urbieta, so what is the plan in Florida, like if you see an opportunistic acquisition, I’m assuming would still jump on it, but is the plan to sort of slow the pace across the board in the near-term?
Bob Espey: Look we’ve grown dramatically in Florida. We've been able to purchase some really strong assets in the market and the team there is currently focused on integrating those, and that is our priority right now is to integrate in on as I said previously to allow the business to delever which does at about half a turn a year.
Derek Dley: Okay and then in the MD&A you mentioned new digital analytics capabilities a few times. I think mainly as it relates to the C-store in Canada, can you just comment on what these are and some of the early learnings you've gained from these?
Bob Espey: Yes, so Derek, as you know we've rolled out our journey program and we continue to evolve that. And next steps on that are as we've talked about rolling that out to the M&M loyalty plan. Other things are reducing the friction and the experience, trying to get payments and location integrated in. And then, we continue to evolve the connection with the convenience store and making sure that, that we continue to evolve what the consumer can benefit from within the convenience store. And then the final item is integrating our EV network into the digital platform, so that again, consumers have a seamless experience, independent of the type of vehicle they drive. So we're quite excited about that. The other thing that our digital platform allows us to do is get a lot of great insights into our business. The team continues to develop not only for our consumer business, but for our B2B business. We continue to develop the functionality and the ability to connect directly with our customers.
Marcel Teunissen: Yes. And maybe to just add, we've talked about this before our kind of digital pricing capability, which we rolled out in 2020, and we've seen continued benefits from, in terms of, real time pricing, relevant for the markets in which we, operate. And we see that, while we see that continuously opportunities to expand the scope of that work too.
Derek Dley: Great, thank you very much.
Operator: Next question will be from Steve Hansen at Raymond James. Please go ahead.
Steven Hansen: Yes. Good morning, everyone. Just a quick question on the Husky acquisition realize it's still in process, but I was just hoping you could speak to your plans for the 156 locations that relates to investment OTR upgrades, I suppose, M&M food introduction, et cetera? And just as a second part, how that integration with a good number of stations out west relates to the refinery? Just trying to get a sense for incremental volume coverage you're going to have off the refinery and what's ultimately left over. Thanks.
Bob Espey: Yes. Good morning, Steve. And thanks for the question. We're quite excited about the acquisition of the Husky branded business, and really see a good opportunity there to apply our brands into that network and expect to get significant lift out of our brands. So that will start to happen in the back half of the year as, presuming that we close as indicated mid-year on that transaction. And we believe and certainly within our own network, we've seen really great lift just by rebranding to ON the RUN. Again, we believe that coupled with our JOURNIE loyalty program will produce some really good lift, and also with our offers as well. So again, we see significant upsides in that. In terms of the volume, I mean, look, we expect that the sites will perform well with Parkland brands. As we've indicated, our brands in each region, our top, we have top quartile consumer brands from volume per site perspective and expect that those brands will bring some additional volume. Specifically as relates to the Burnaby Refinery, I mean, our team has done a great job over since we took possession of the refinery of continuing to grow our market share in the market, both organically and now through acquisition and that certainly helps cement volume locally in the market.
Douglas Haugh: Yes. It's Doug here. I just want to add one more thing. The acquisition of Husky should take us from about 85% of our volume going into our system to around 90%.
Bob Espey: Yes. That's good in BC.
Douglas Haugh: Yes. In the BC market, yes.
Steven Hansen: Very helpful guys. And just one follow up just to drill down one level further, have you had a chance to identify how many of those sites will get the ON the RUN brand at this point? I'm just curious if it changes the broader strategy the acquisition was announced of course, post Investor Day. So just curious, if it accelerates or creates incremental opportunities for the brand beyond the original plan.
Bob Espey: Yes, look I don't have the exact number, but certainly our team, our Canadian team looks at it from a network planning perspective and they do, they're always evolving the network. And again, as we continue to dig into the sites, there are opportunities where we can use the organic growth capital that we would have identified previously without Husky, but refactoring that into this business to redevelop it. As we -- once the business closes, I think we'll be in a good position to provide a more fulsome update on, how we see that business tracking what some of the plans are.
Steven Hansen: Very good. Thank you. I appreciate it.
Operator: Your next question will be from Vishal Shreedhar at National Bank. Please go ahead.
Vishal Shreedhar: Hi, thanks for taking my questions. I was hoping you could comment on PKIs positioning in the energy index, given numerous changes that you've implemented and the roadmap to diversify the business. Does it still make sense in your view to be in the energy index particularly given that PKI doesn't necessarily have torque to the underlying oil commodity?
Bob Espey: Yes, that's a very good question. I'll turn that over to Marcel.
Marcel Teunissen: Yes, thank you, Vishal, good morning and thanks for the question. Yes, now we of course see the same thing and much of our share price movement which we have seen throughout last year and also this year of course, relates to that. That's our view. We don't control the index in which we use as standard and enforce us that. We of course don't believe we belong in that index, at least not in the way that we are currently are there. So that's one that in our disclosures, we try to emphasize that, we've done some of that during this quarter. And in quarter one, we'll continue to kind of shine a light on the core businesses that that we believe define Parkland.
Vishal Shreedhar: Okay. And just changing topics here a little bit more detailed question, particularly on the fuel and petroleum gross margin, CPL in the International business it deteriorated a bit more than anticipated. And my previous understanding was that there was a large portion of that business that was gradable and had legislated margins. So just hoping you can give us any perspective on that decline and should we anticipate that to go back to kind of the run rate that we saw through the year for 2021?
Bob Espey: Yes, Vishal that's a great question. Through the pandemic our team there has done an excellent job of growing the business organically, and it's really a mix impact that you're seeing. So they grew the wholesale business and quite frankly, gained a lot of market share in that area. And as a result though, our wholesale business is lower margin. The margins in the other segments have stayed consistent with what they would have been previously. Again, it's the mix that's shifted, I don't know if you want to…
Marcel Teunissen: We saw some aviation volume coming back. That's generally lower margin as well. And maybe just to add to what Bob said, the reason we acquired this wholesale margin, it's really optimizing the supply chain. We already have vessels going from the Gulf coast to locations we're in. And so if we can add volume to that and fill up the ships that will just optimize those routes. And so that's why it's an attractive business for us from an end to end perspective.
Vishal Shreedhar: Okay, thank you for taking my questions.
Operator: Next question will be from Peter Sklar at BMO Capital Markets. Please go ahead.
Peter Sklar: Yes, good morning. Bob, could you explain exactly what is the voluntary carbon offset business, how that works and what kind of economics is it generating now for Parkland and what are your expectations there?
Bob Espey: Yes, so the carbon offset market has two components. The first is there's a regulated component, and those are in markets like in British Columbia and also in California, where we do participate in those markets. And then the second thing is a voluntary market. So this is where emitters look for projects that they can offset their emissions. And from projects that are leading to a reduction in Co2 emissions, a great example would be in this case, for example, would be a methane capture project on a landfill and this, and it has, it helps not only assist the emitter and they have to pay to abate their carbon, but it also helps the developer of the project and the voluntary market in our belief is going to be critical to enabling decarbonization, particularly in poor countries where governments don't have the balance sheets to fund the transition, the voluntary market is an enabler for that, and we've participated in that. So our team based here in Calgary has really grown a bit, a nice business organically and has become a major, we've been able to put buyers and sellers together and help people develop some of these projects, so that with the capital from the voluntary offset market, and then selling those into emitters that have a regulatory requirement to reduce. So we like to see that's a very fast growing part of our business. We haven't parsed it out specifically, so I can't comment on that, but I did talk about that next year we expect the renewables business and our carbon offset business to contribute roughly $50 million to Parkland. So it does show how big that business is getting. And we'll start to report on that. So we'll update it on a quarterly basis and then annually, you'll start to see the growth that we're expecting to achieve. And it ties right back into our Investor Day and our commitment to add $150 million of decarbonized EBITDA by mid decade.
Peter Sklar: But I'm still not sure, like are you structuring these deals or are you deploying capital in these deals and capturing the offsets and then selling them?
Bob Espey: Mainly we're an intermediary. So we bring buyers and sellers together to enable the projects. We're not putting capital into specific projects at this point. We do have an inventory of carbon offsets in the regulated market that we use, but that would be really the only capital that's invested in this business. I don't know, Marcel, if you want on that?
Marcel Teunissen: No, that's correct.
Bob Espey: It is a very high return business.
Peter Sklar: Okay. And then the second area I wanted to discuss, like, you've really gone out of your way to discuss this new messaging on this call regarding the slowdown in M&A, you want to build your balance sheet and allow some time for integration. Like when did the company come to this decision? Is this something you saw coming and like what motivated this change and well, like your debt-to-EBITDA is 3.3 times. So you're going to de-lever within a year to where you want to be, which is under three times. So what's really going on here?
Bob Espey: Yes. Let me kick off. So look, we've always guided that getting towards 3.5 we will signal to the market that we'll de-lever, which we are doing. As you said, we've grown a lot here in the last 18 months, we've acquired a lot of business and we really do want to make sure that we focus on integrating them effectively and make sure that we get the value out of those deals. So that's, first and foremost. The second thing I do want to reinforce is this does not, this -- our commitment to get to 2025 to $2 billion by 2025 is still there and very achievable. And again, in essence, we pulled forward a lot of our growth through the extensive M&A we've done over the last 18 months. So comfortable with where we're at. It does make sense to pause right now and allow the business and the balance sheet to recover.
Marcel Teunissen: Yes, there is no change of strategy clearly, but we talked about it and I think as Bob described with, once we get to that, and so think of that, think of 12 months of kind of pausing for us before we pick that up again. So it's not a change of the strategy. I think to your question, why is that, I'll bring you back to our capital allocation framework, which we talked about. So we do think that by investing in our business, we create sustainable shareholder value and we'll continue of course to look at that. At this time we focus on the balance sheet and once we get also into a more normal leverage range we see kind of the, we see the opportunity for additional shareholder distributions once we get there.
Peter Sklar: So what are you going to do, it's like really great opportunities arise in the U.S. which is an area you'd really focus for growth, you've been buying great companies at low multiples. Are you just going to let them go and say, we'll be back in 12 months? I just don't understand.
Bob Espey: Look our pipeline still remains robust. We do have productive conversations with vendors, and again, the fact that a large number, I mean the majority of our deals are proprietary to Parkland does give us some leeway here to manage that and make sure that we don't miss any compelling opportunities.
Peter Sklar: Okay, thank you for your comments this morning.
Operator: Next question will be from Carla Casella at JPMorgan. Please go ahead.
Carla Casella: Hi, have you ever broken out how much of your business is related to tourism?
Bob Espey: Right, I didn't, I didn't hear that?
Carla Casella: Oh, I'm wondering if you've ever broken out how much of your business is related to tourism?
Bob Espey: Look, we haven't broken out specifically. Other than the International business, I would say we're not levered to tourism at all in a material way. And then in the International business, we've often talked about there being sort of three markets within our International business. Those that are very linked to tourism, those are driven by natural resources, and then, there's a group of markets that really don't have a tourism or a natural resource impact that are driven by their local economies. So, when you look at that, while we do have some exposure, we've certainly been able to mitigate that. And, I would say on an overall basis that Parkland, the direct drive into tourism, is there, but it's not a material part of business.
Carla Casella: Okay. And then could you give us a sense for the economics of new stores and how they differ, whether it's a, differ by format or maybe a benchmark of the high and the low cost for the stores and payback period?
Bob Espey: Yes. So if we look at a new to market site, so when we look at our business, we've got three ways that we deploy capital within the retail business. So one is that, we're refreshing and redeveloping to an existing structure. The second would be what we call a knockdown and rebuild. So we have a site with proven traffic patterns, but we see an opportunity to improve the productivity of the site with a new building, new look. And then the third is, would be a new to industry site. And our capital fluctuates between all three of those. I would say the -- from a payback period, the -- when we put capital into an existing site, do a refresh, it's fairly quick. I mean, you're talking sort of two to three years that you get the capital back out on a knock down and rebuild where you have proven traffic patterns and proven customer behavior, they tend to return quicker. And one of the things that -- and then on a new to industry, you take a longer because you generally take some time to build volume and customer traffic into the site. Typically for those sites, you're looking in the, five to seven-year payback, depending on where it is and how big it is, but just as an indication, anecdotally, we would invest in a large format with fresh food site, with a car wash, roughly $5 million and we would expect that in year-three, that site is generating somewhere between $500,000 and $700,000 annually.
Carla Casella: Okay, great. Thank you so much.
Operator: Thank you. Next question will be from Matthew Weekes at IA Capital. Please go ahead.
Matthew Weekes: Good morning. Thanks for taking my question. Just looking at Slide 6 of the presentation, and the acquisitions done over the past year and a half, $1.8 billion for $200 million in EBITDA, so about a nine times pre-synergy multiple on that. I'm just wondering, if you can comment on sort of what's driving that multiple acquisitions like Urbieta and M&M transacting at premium multiples, in general as Parkland sort of buy more owned sites real estates with these acquisitions, is it just to do more with size and being platform type acquisitions, quality, and as Parkland does start to acquire more after a bit of de-leveraging here, how do you expect that to sort of influence acquisitions going forward?
Bob Espey: Yes, thanks for the question, Matthew, and we don't specifically have targets around owned and leased sites. It depends on the opportunity. We do, we're not scared to own property and always think it is a good backstop for the asset longer-term.
Marcel Teunissen: Yes, no and we have generally seen, I think Matt, the multiples acquisition haven't really grown up, but when you have a particularly heavy retail mix, like the Urbieta acquisition with quite a lot of real estates, then of course the multiples are a bit higher M&M, which was in a different segment altogether was of course a bit there. And that gets offset by the opportunity for synergies and growth in some of those businesses, which we've highlighted. So as we said before on the post, on a post synergy basis when you look at the numbers, that's just on the 7 there. And then once you take the real estate into account, which was a material portion, and we talked about it when we announced the Urbieta deal it drops a bit further across even this whole mix. But we also continue to see businesses that we buy if they are a good mix. And there are smaller businesses in Idaho and in Utah where we have done some acquisitions, we were very much at that lower end of the spectrum when we buy in, I think that will continue to be like that.
Matthew Weekes: Okay. Thanks for the commentary on that. And then just one more question, I know you commented a little bit on it earlier, but I'm just wondering if you could provide some commentary on broad trends you're seeing, and you talked about expectations for growing the carbon offsets business. How are you seeing demand trend in that business from your commercial customers and demand in the carbon market, offset market in general going forward here?
Bob Espey: Yes, I mean, it's growing at a very rapid rate. We continue to grow at a higher rate, I would say. And to your point, I mean, we do, it does fit very well with our strategy to help our customers decarbonize. And, a great example is, we have large industrial customers that now have carbon reduction targets and they are coming to us to get whether that's renewables or to help them with through offsets, we're really able to offer them a suite of solutions to reduce their carbon footprint. So expect that to continue to grow at a very high rate here going forward.
Matthew Weekes: Okay, thank you. I appreciate the commentary. That's it from me. I'll turn it back.
Bob Espey: Great, thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude the question-and-answer period, as well as your conference call for today. Once again, thank you for attending and at this time, we do ask that you please disconnect your lines. Enjoy your weekend.